Operator: Good morning and welcome to Seven Hills Realty Trusts First Quarter 2023 Financial Results Conference Call. All participants will be in listen only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this call is being recorded. I would now like to turn the call over to Kevin Berry, Director of Investor Relations. Please go ahead. 
Kevin Barry: Thank you and good morning, everyone. Thanks for joining us today. With me on the call are President, Tom Lorenzini; Chief Financial Officer and Treasurer, Tiffany Sy. In just a moment, they will provide details about our business and our performance for the first quarter of 2023. We will then open the call to a question-and-answer session with sell side analysts. First, I would like to note that the recording and retransmission of today's conference call is strictly prohibited without Seven Hills Realty Trust's prior written consent. Also note that today's conference call contains forward looking statements within the meaning of the private securities litigation Reform Act of 1995 and other securities laws. These forward looking statements are based on Seven Hills beliefs and expectations as of today, Tuesday, April 25, 2023, and actual results may differ materially those that we project. The company undertakes no obligation to revise or publicly release the results of any revision to the forward looking statements made in today's conference call. Additional information concerning factors that can cause those differences is contained in our filings with the Securities and Exchange Commission, or SEC, which can be accessed from the SEC's website. Investors are cautioned not to place undue reliance upon any folder within statements. In addition, we will be discussing non-GAAP numbers during this call including distributable earnings and distributable earnings per share. A reconciliation of GAAP to non-GAAP financial measures can be found in our earnings release presentation that we issued last night, which can be found on our website as sevnreit.com.com. We believe this combined presentation of information will be helpful for analysts and investors to efficiently digest information about our company and our results. I will now turn the call over to Tom.
Thomas Lorenzini: Thank you, Kevin. Good morning, everyone. And thank you for joining the call today. Last night, we announced strong first quarter earnings resulting from our resilient business model during a period of increased market volatility and the benefit of rising interest rates on our floating rate portfolio. Even as pressure on commercial real estate intensified, all of our loans continued to perform. Our capital remained well insulated with an overall portfolio loan to value of 67%. The credit profile of our loan book was stable. Distributable earnings increased to $0.39 per share. And we continue to deliver total shareholder returns that have outperformed the industry benchmark by more than 40 percentage points since the beginning of last year. We have maintained a highly selective approach in our loan origination activities, and did not close on any new loans during the quarter although we are in diligence on two opportunities totaling approximately $65 million currently projected to close over the next several weeks. In addition, we have an active pipeline along with ample liquidity to take advantage of today's attractive pricing opportunities. The Federal Reserve continued on its path of tightening monetary policy during the first quarter and as a result, new lending activity across the market was subdued. In addition to higher interest rates, that continued slowdown in the CLO market has driven many lenders to the sidelines. And the recent failures of Silicon Valley and Signature Bank have raised liquidity concerns and contributed to the slowdown in lending in the banking sector. The overall result is a favorable competitive backdrop for alternative lenders such as Seven Hills that have liquidity and are not financing themselves in the CLO or securitized market. This allows us to continue to be selective on new investments, while capitalizing on those opportunities with high quality sponsors and accretive pricing. We continue to be proactive and are on active dialogue with all our sponsors as they execute on their business plans. We received more than $60 million of loan repayments since the beginning of 2023 further enhancing our liquidity and strengthening our balance sheet. We believe this repayment activity is a testament to our disciplined underwriting and asset management capabilities and serves as a positive indicator where experienced well capitalized sponsors achieving their business plans in this challenging market environment.  Turning now to our loan book at quarter ended. As of March 31, Seven Hills portfolio consisted of 25 first mortgage loans with total commitments of $674 million our average loan commitment is approximately $27 million, and future fundings account for less than 7% of our total commitments. Our investments have a weighted average coupon of 8.6%, and an all in yield of 9.1%. In aggregate the portfolio has a weighted average loan to value of 67% and a weighted average maximum maturity of 3.1 years when including extension options. Our portfolio credit quality remains strong with no past due or non-accrual loans, which speaks to the overall strength and stability of our borrowers and the underlying collateral assets. The weighted average risk rating for the portfolio is unchanged compared with the prior quarter at 2.9 and none of our loans are rated five. Our loans are well diversified geographically and across asset classes. As a lender and transitional real estate, the collateral for our loans is well-positioned to capture rent growth, as managers execute on their value and strategies. Given the well publicized headwind space in the office sector, I want to take a moment to give you more color on our office loans and point out that we have included additional details in our earnings presentation this quarter which we believe may be helpful to investors. Our portfolio includes 10 office loans, making up 40% of Seven Hills principal balance. All these loans are performing and none are located in urban or CBD markets that are facing the sharpest headwinds from the post-COVID work from home trend. We are seeing capital investment plans advance, strong rent collections and continued financial commitments from our sponsors. We have no five rated office loans. And our two four rated loans make up just 9% of the overall portfolio. One of these is our office loan in Dallas, where we are seeing an ongoing commitment from our sponsor with significant additional equity contributions. The other four rated loan is our Pennsylvania loan secured by a class A office building and we are not out of the woods yet the property recently increased occupancy to approximately 80% from 35% a year ago. As we look ahead, we expect commercial real estate will continue to face challenges related to sustain higher interest rates, recessionary concerns and scarce financing. Considering the ongoing volatility in today's market environment it is worth noting that the strength of our platform is supported by the RMR group who manages over $37 billion in assets and nearly 2100 properties across the country. With approximately 600 real estate professionals and 30 plus offices nationwide, we have access to substantial hands on experience executing business plans and operating properties across sectors. Our collective knowledge and resources across Trimont Realty Capital and the depth of our Omar's national commercial real estate platform provides Seven Hills with a unique ability to step into the operations and management of a property if necessary to protect shareholder interest. At the same time, we believe our company is well positioned to navigate the current landscape, opportunistically reinvest our capital and continue to drive attractive returns for our shareholders. Our relationships with our secured financing partners continue to remain strong with more favorable pricing in recent months. And we have balance sheet capacity to support an additional $120 million of investments that meet our disciplined underwriting criteria, and are in line with our targeted returns. As a reminder, all of our loans are structured with risk mitigation provisions, such as cash flow sweeps, interest reserves and rebalancing requirements to help protect us against possible investment losses. While we plan to remain selective and mindful in our approach to new originations, we are seeing increased transaction volume and through our pipeline that will allow us to take advantage of the enhanced returns afforded by the current market dislocation. We are currently evaluating over 20 prospective financings that reflect a balanced mix of acquisition and refinancing opportunities primarily on industrial, multifamily and hospitality properties. This includes seven outstanding term sheets with an aggregate loan balance of approximately $375 million and two loans either under application or being negotiated with an aggregate loan amount of approximately $65 million. In summary, despite the higher interest rates and corresponding volatility and asset prices in today's markets, the coming quarters represent an attractive opportunity for Seven Hills. Our portfolio as a [indiscernible] profile, our pipeline is growing, we are well positioned to deliver shareholder value over the long term. And with that, I'll turn the call over to Tiffany.
Tiffany Sy: Thank you, Tom. Good morning, everyone. Yesterday, we reported distributable earnings, or DE of $5.8 million, or $0.39 per share, which was $0.02 above the high end of our guidance range, primarily due to the timing of loan repayments during the quarter. On a sequential quarter basis, DE increased approximately 5.4% compared to DE of $0.37 per share in the previous quarter. Seven Hills continues to generate very attractive returns for our shareholders. Earlier this month, we announced the regularly quarterly dividend of $0.35 per share. Our DE for the first quarter of 2023 covered our dividend by approximately 110% and on an annualized basis, our dividend equates to a yield of approximately 14% based on yesterday's closing stock price. Since the beginning of 2022, Seven Hills has delivered a total return for our shareholders of 11% representing substantial outperformance relative to a negative 32% return for the new rate mortgage commercial financing index. Our earnings growth is primarily driven by rising interest rates in the first quarter of 2023 with our weighted average coupon rate increasing from 8.1% to 8.6% or approximately 50 basis points quarter-over-quarter. We expect Seven Hills earnings to continue to benefit in the quarters ahead from higher interest rate levels, as well as any further interest rate increases that may occur. In the sensitivity one month term SOFR at the end of the quarter was approximately 480 basis points, and is projected to peak in mid 2023 above 5%. Based on our portfolio as of March 31, we estimate that an increase of 25 basis points would result in an incremental annual benefit to DE of approximately $0.03 per share.  Turning to capitalization and liquidity, we ended the quarter with $435 million drawn on our secured financing facilities. Our leveraged decrease margin marginally to 1.6 times from 1.7 at the end of 2022, mainly due to the two loan repayments that Tom mentioned earlier. We believe these repayments reflect the strength of our underwriting and the ability of our sponsors to execute on their business plans. While the rise in short term interest rates has increased our cost of capital our lower leverage levels and our net interest spread between our investments and our financing facilities has increased our net interest income. Looking forward, our cash and available borrowing capacity currently allow for us to originate approximately $120 million of loans after consideration of the two loans that Tom mentioned earlier. Turning to our outlook for next quarter. we expect DE to be between $0.36 and $0.38 per share. Guidance reflects G&A expenses excluding non-cash share grant expense, that are flat with Q1 and our current expectations for interest rates, originations and loan repayments. The decrease in forecasted DE on a sequential quarter basis is driven by loan repayments that occurred during the first quarter, and the expected timing of new originations and loan repayments in the second quarter. In summary, we look forward to continuing to deliver strong risk adjusted returns for our shareholders as we redeploy capital into investment opportunities focused on the most attractive property types in today's market.  That concludes our prepared remarks. Operator, please open the line for questions.
Operator: We will now begin the question and answer session. [Operator Instructions] And our first question comes from Matthew Erdner from Jones Trading. Matt please go ahead.
Matthew Erdner: Hey, guys, thanks for taking the question. Do you guys have any expectations for repayments going forward either for this quarter or the year?
Thomas Lorenzini: We do. For this quarter the current quarter that we're in now, Matt, we've we've already received one repayment on a multifamily loan in Seattle for about $12.5 million. And then for the balance of the year we have another 58 or so scheduled two office repayments that are in the process of the refinance, of trying to refinance their positions now. And then in Q4 we have another three loans that could mature and they also have some extension options as well should they choose to accept those.
Tiffany Sy: Those total about $85 million.
Thomas Lorenzini: Total about 85 million.
Matthew Erdner: Awesome. That's helpful. And then given with what's happened in the banks, you guys have said that transactions or I guess the pipeline has kind of built up a little bit. Have you seen, I guess, more volume now that the banks are kind of going through a little trouble?
Thomas Lorenzini: Yes. I would say that that is true. The pipeline currently approaching about a billion dollars, which is quite bit from Q3 and Q4 of last year. And a good part of that we do believe is because of the regional banks have, have stepped back. It's a little bit of a double edged sword and that often that some of those banks that also refinance our positions. But at the same time we're not competing with them, because they were pricing quite a bit inside of where lenders such as Seven was transacted.
Matthew Erdner: Awesome, that's helpful. Thank you guys.
Thomas Lorenzini: Thank you.
Operator: [Operator Instructions] Our following question is from Chris Muller from JMP Securities. Chris please go ahead, everyone.
Chris Muller: Hi everyone. Thanks for taking the questions. And congrats on a strong start to a challenging year. I just wanted to touch on the repayments in the quarter. Were there any meaningful repayment fees associated with those two early repayments in that $0.39?
Tiffany Sy: No. We did not have any meaningful repayment fees on any of them.
Chris Muller: Got it. Good to hear. And then on the [indiscernible] reserve that went into place in the quarter looks like it's about $4.1 million. Are there any specific reserves in that number? Or is that all general? And then can you guys just talk about how would approach any loans that end up being a five rating? Would those get specific reserves? And is that something that you would disclose?
Tiffany Sy: Sure, I'll take that one. So one thing I just want to point out, there's $4.1 million that you can see on the balance sheet of our CECL reserve related to our outstanding principal. I'll also point out, which you can see in the 10-Q, I believe on Page 9, there is an additional $1.5 million on our unfunded commitments. So the total is $5.6 million total reserve. So just wanted to point that out. Moving on, I believe your next question was, are there any specific reserves? Currently, there are no specific reserves. If we were to move into a situation where we had a loan that was rated a five, I think at that point, we would end up having a specific reserve. We would likely have to look at the loan differently. And if it were a collateral dependent loan, we would more than likely value that based on the fair value of the collateral and any additional funds that we may have available. We are not in that situation. But that's we had a process and that's what would occur.
Chris Muller: Got it. Yes. Hopefully, we don't end up in that situation. And you don't have to work out any fibery loans. I guess just the last one, Tom. I guess what, what would make you guys comfortable to start stepping on the gas again? Is it more of the Fed giving a little more clarity on the path of interest rates? Or I guess what type of things are you looking for out there?
Thomas Lorenzini: Certainly clarity, right. We're seeing transaction. I mean, there's just the number of trades is down quite a bit. And this is one of the few times that I can remember where we're quoting transactions, and we have a buyer in many cases that wants to transact. But ultimately, the deal seems to just kind of evaporate, if you will, because there's generally a disconnect between the buyer and the seller. The buyers are often going back looking for a little bit more of a price reduction. And we're seeing the sellers unless you have to transact today, they're just not. So from that perspective, we believe that the Fed come May if they stop or they provide some clarity that maybe we're reached the peak terminal rate, that the markets will adjust and we're going to begin to see more trades. And that will be beneficial for everyone. But we do have capital. We are actively lending. We're actively underwriting. We have a couple of transactions in process right now. So we're optimistic that the back half of the year, we're going to be quite active.
Chris Muller: Got it. Thanks for taking the questions. Very helpful.
Tiffany Sy: Thank you.
Operator: And this concludes our question-and-answer session. I would like now to turn the conference back over to Tom Lorenzini for any closing remarks.
Thomas Lorenzini: Thank you everyone for joining us today. We look forward to seeing many of you at the Nareit’s Conference in June.
Operator: This concludes the conference. Thank you for attending today's presentation. You may now disconnect.